Sophie Arnius: Welcome to SKF's Earnings Call for the Fourth Quarter of 2024. We ended the year with solid margins, thanks to strong execution in a challenging market. My name is Sophie Arnius, and I'm heading up Investor Relations. We will have a slightly different team than otherwise. Our CFO, Niclas Rosenlew, left by year-end. So, I'm very happy to have our CFO -- acting CFO, Carina van den Berg with us today. And we will also have CEO, Rickard Gustafson with us today. After your presentations, there will be an opportunity to ask questions. [Operator Instructions] So, with that, I'm happy to hand over to you, Rickard.
Rickard Gustafson: Thank you so much, Sophie and good morning everyone, and welcome to this earnings call. Well, with no further ado, let's just dig into it. And as you heard Sophie mentioned in her opening remarks, we are continuing to managing a rather volatile environment. We are now reporting for the sixth consecutive quarter negative organic growth. This quarter, we're talking about some minus 3%, but we maintain our margin resilience. On a rolling 12-month basis, the margin is holding up pretty well also compared to 2023, as you can see on this chart. And the drivers behind this are the same that we have talked about throughout the year. We are executing on the strategic intent that we have laid out. We are driving a lot of price/mix, we are driving our portfolio management activities, and we are continuing our regionalization efforts to ensure that we establish strong and robust value chains in those regions where we operate. And clearly, in this quarter, we have also spent a lot of time and emphasis on the upcoming separation of our Industrial business and Automotive business. We're in an intense phase and we're working hard with all the planning and all the preparations for the work that is needed to make the kind of historical split of our business. Clearly, this means that we also take the opportunity to review the future setup for both our Industrial business and our Automotive business to ensure that we create a platform for profitable growth going forward with two highly competitive business units. But more of this will be shared in the fourth quarter at the Capital Markets Day that we have talked about before. And today, I'm pleased to announce kind of a hold the date. We will be in Stockholm on November 11th, where we're going to share more details on the upcoming separation and the cost of the separation, but more interestingly -- interesting, the value that we foresee that this will create for both entities. So, I hope to see you all in Stockholm in November. But if we start by taking a look at our full year -- sorry, that's the first slide. The full year, you see we are -- have a net sales of almost SEK100 billion. This is a negative organic growth of some 5%, but as I mentioned before, the operating margin is holding up pretty well, is almost on par with the same number as we had in 2023, even though in 2023, we had positive organic growth. So, the resilience, I think, is a proof point of -- in these numbers. We also have a strong cash generation, almost just shy of SEK11 billion, and with all the activities that were ongoing and our belief that we are creating a strong foundation for the future. We have the confidence also to slightly increase or propose to slightly increase the dividend from SEK750 to SEK775. So, that was what we bring to our shareholders at the AGM later this spring. Looking into the quarter, the fourth quarter in isolation, as I said couple of times, the negative growth environment is maintained. The margin is holding up pretty well. This time, we're reporting some adjusted operating margin just north of 11%. It's worth noticing though that we have had some significant FX headwind of 0.9 percentage points that have had a negative impact on the margin in this quarter. But also true that in this quarter, it's the first quarter where we have not been able to fully mitigate the volume -- negative impact from fixed cost absorption driven by the lower volumes. And this is especially true in automotive, which I will come back to shortly. Looking into cash flow, as you can see, I think it's a robust cash flow of SEK3.3 billion in the quarter. And as you talked about, the net sales, just shy of SEK25 billion, representing a 3% negative organic growth. But this is not evenly spread across our geographies, as you will see on this chart. If I start with Americas, we're back into growth. We see a strong positive growth -- net sales growth in Americas. Clearly, we see more higher activity levels in the region, which is rather promising. I'd like to stress, though, that we have some timing effects here. So, some business that we may plan to see in Q1 slipped into Q4. But even if we even that out, we would have reported a positive number here. Turning to India and Southeast Asia. Here, we also see high activity levels in a number of countries, India, Indonesia, and Vietnam to be mentioned, the prime ones. We also see a lot of activities here in two-wheelers. We see strong industrial distribution growth and also heavy industries. Turning to China and Northeast Asia, a rather significant negative organic growth in the quarter. As we said now for a number of quarters in a row, we still have a low activity level in the wind industry. But here in China, also for industrial distribution, we have seen some destocking in the fourth quarter. That is also having a negative impact on our growth number in that region. And then -- but clearly, there are also some green sprouts in this area where we see extreme strong growth in the EV sector in China, in particular. And finally, turning to Europe and EMEA, where we also report a rather significant negative organic growth, but it varies quite a lot between different parts of EMEA. In Northern Europe and in Eastern Europe, we do see a positive activity level where we see positive momentum in a number of different industrial verticals. While it's more flattish or stable or slow, pick the word you like, in the larger Western European economies, such as France, Germany, and Italy. Looking into different industrial segments. We have seen strong growth in aerospace in this segment, while we see very low activity levels in automotive in primarily EMEA. So, this gives you a little bit of a flavor of how the growth have developed and activity levels in the different regions where we operate. Then turning to our industrial automotive segments. Again, our industrial business is holding up well in a very volatile environment. Negative organic growth of some 3% in this quarter, while the operating margin is not far from what it was a Q4 last year. For the full year, though, I think it's interesting to mention that our operating margin for our industrial business is actually somewhat higher than the -- from -- for 2023, despite that we're now into negative territory in terms relative to growth. Moving then to automotive, which had had a tough quarter. As you can see here, a rather significant negative organic growth of some 4% and a rather weak adjusted operating margin of 2.6%. Here, we have seen that in the quarter that many of our OEMs, especially in Europe, they really reduced their output from their manufacturing activities and prolonged the vacation period over the holidays, which also had an impact here and made it rather difficult for automotive to fully compensate the impact from fixed cost absorption. In the quarter, we've also seen that the product mix has shifted a little bit, which have -- we have sold more products that needs more material and therefore, material costs are also up a bit in the quarter. And finally, also logistics has caused a little bit extra in the quarter. On the good news, though, when we look into the underlying business and the new business that we quote for, they are all very accretive to the long-term operating margin target that we have set for automotive. So, we are optimistic, and we believe that what we said before, it's still valid, even though the fourth quarter was a problematic quarter. Leaving the numbers for a second and sharing some insights on some of the strategic initiatives that we're working on. And this quarter, I'd like to draw your attention to two things. Give you an update on what we have talked about for quite some time, the -- our efforts to drive a robust and sustainable supply chains in the different regions where we operate, i.e., what we call regionalization. And I'd also like to give an update on how we continue to strengthen our value chain to support the ongoing electrification by building strong value chains in our ceramic bearings. But starting with the regionalization. Here, you see an update on what we have achieved during 2024. And I do think we see some significant movements in the pace in our regionalization. This is something that we talked about throughout the entire 2024, that this is high on our agenda, and I'm pleased to report that you can see that in the regionalization rates. Americas, as you can see, touching 70% regionalization, up 3 percentage points in just one year. And in Asia, we are not far behind at 68%, up 5 percentage points in a rather short period in one year. Well, in EMEA, clearly, we already have a very solid regionalization base. Here is more about how do you drive efficiency and also how do we shift more production from Western Europe to Eastern Europe, which is also part of our agenda. And as to remind ourselves, why are we doing this? Well, there are a number of benefits that we truly believe we gain from driving this agenda pretty rapidly. We do see increased flexibility in our value chain. We do see that it drives cost competitiveness for us. We do see that it creates more resilience in our value chain, which is clearly needed in the world that we live in the volatile world that we live in. And it also provides higher customer satisfaction. And let's take a deep dive on this customer satisfaction. I'd like to share an example from China. And here you see the regionalization rate in the bottom of this chart and on the blue line indicates the development in the -- our lead-time to our customers. Clearly, you can see as we have ramped up regionalization, we have been able to significantly reduce lead-time with some 25% in a few years' time. And the key success factors are listed here on this slide as well. Clearly, we have invested in local production and sourcing capacity, which has played out well. But it's not just about the sourcing and the production, it's also our efforts to build local R&D and manufacturing efficiency and competencies. And by doing that, we have been able to leverage the total know-how and knowledge base of SKF that has also helped to accelerate that pace. So, good momentum, and I hope this gives an indication that it also provides customer value to drive this regionalization for us. Shifting gear and turning into what we do to take advantage of the ongoing electrification trend. For us, we are the world's leader when it comes to ceramic bearings and they provide a significant value in itself. Clearly, they have a natural isolation for electrical erosion, which has a higher interest in many electric applications. That provides high capability for higher speed or better capabilities for higher speed, and it's more resistant -- very resistant and have an extended life. So, what we've done here is actually -- again, we are focused on the entire value chain, everything from ensuring that we have the raw material, we develop our manufacturing capabilities of rolling elements both in-house and through partners, and we have accelerated our R&D capabilities and also our ability to test and prototype so we can be quick to market and short lead-times to market. And when we talk about ceramic bearings, we normally talk about their application and how they fit into the EV space, which is true, and it's an important application for us and an important market for us. But it's not the only industrial vertical where this has a significant potential and provide significant customer value. You see here a number of other industrial verticals that are of high interest, like high efficiency and heating and cooling, the HVAC being a one primary sample, aerospace being another. So, clearly, this is an interesting area for us and something that we invested in and we do see significant growth opportunities going forward. So, with this, I end my part, and I'd like to hand over to Carina, and I'm very pleased and grateful that you have stepped in to bridge this gap between Niclas and incoming Susan. So, more than welcome.
Carina van den Berg: Thank you so much, Rickard. Thank you and hello everyone, and I know you are not used to see me, I'm usually more behind the scene as I'm globally responsible for the financial accounting and reporting as well as the sustainability reporting for the SKF Group. So, my name is Carina van den Berg, and I'm here to take you through some of the financials. Let's start with the bridge. So, you see that bridge has a slightly updated format, where you are able to clearly follow both the sales development and the operating profit development in the quarter. So, if we start with some comments on the sales, we see that sales is up 1%, and this is driven by the FX effects, especially from last year, where we had the devaluation of the Argentinian pesos, which is a cost sales to be lower last year, and this is then showing up as a positive 3.9% in this quarter. And this compensated for the organic sales decline of 3%. If we then turn down to the operating profit, we are very encouraged to see that for the first time this year, we have -- the price/mix was very positive and that actually offset the volume decline that we had in the quarter, giving a positive effect on the EBIT. On the other hand, as Rickard had mentioned, we had some challenges when it comes the cost development, partly driven by the low volumes that we had fixed cost absorption, we could not accounted for. We also had some negative material mix. The price component in material is flattish or slightly positive, but the consumption of mix of material was slightly higher, and this was particularly true for the Automotive business and we also see some slightly higher logistic costs. If we then look at the FX component here, we see that this affected the margin quite a lot by 0.9% as the absolute number on EBIT was negative, and this is mainly driven by the Turkish lira and the euro. The structural component in this bridge relates to the acquisition of the John Sample Group. This was not a full quarter that we have them with us, and the operating profit also includes some transactional costs. What you don't see on this bridge is the item affecting comparability. I'd just like to comment on that, that there were SEK100 million higher than what we saw in Q3. And this is mainly related to the intense phase we are in when it comes to the separation of the Automotive business. And we do expect that this will be slightly higher in the coming quarter as we accelerate that work. If we turn to cash flow. As you can see on the left side here, we had a very solid cash flow generation in the fourth quarter, although slightly behind the last year or SEK0.5 billion behind last year, but this was a record quarter for us. So, we are quite pleased with this number. And if we then look on the right side, where did this cash flow come from, we can see that the operating profit is actually higher than last year and we have a good contribution from the net working capital. That's partly driven by seasonality, but also with some diligent AR work, but we do see that we have further potential to reduce our inventories. If you would look further down into the cash flow statement on the investments during the quarter, this also now includes the acquisition of the John Sample Group for about SEK570 million. If we then turn to the balance sheet. As we have reported quite some time now, we have a solid balance sheet, we see a slight reduction in the net debt year-over-year, but also quarter-over-quarter. And the net debt-to-EBITDA is now below 1, excluding the pensions and just slightly above, including pensions. Talking about the return on capital employed, we do see a reduction. This is driven by the tougher market conditions that we are in today, but also the higher investments we have had in a few quarters. And with that, let's turn to the future and the coming year. We have reviewed our guidance, we have also incorporated feedback we have received from some of you on this call. And given the nature of our business and the volatile markets we are in today, we've decided that we will not give full year guidance any longer. And for the coming quarter, we will give a more qualitative rather than quantified guidance. So, looking into the first quarter, we do expect that the organic sales is expected to weaken somewhat year-over-year. On the other hand, we expect the FX to turn positive. And based on the year-end rates, this would be approximately SEK200 million. On the CapEx side, we, for the full year, foresee some SEK4.5 billion in CapEx, and this is down from where we ended in the 2024 figures. And with that, Rickard, I hand back to you.
Rickard Gustafson: Thank you so much. And let me try to wrap-up this presentation part of this call, and then we head into Q&As. But to summarize then, I think the story continues. We are still navigating in a volatile world with negative organic growth rates, but our activities to offset that and maintain our margin resilience continues. And I do see that for the full year, that story holds true and also think it holds true also in this fourth quarter, and that journey will naturally continue as we move into 2025. We will continue to execute on our strategic agendas that we have laid out. And we will continue to drive the important initiative to create two independent and competitive business units, one for Industrial and one for Automotive. And as we do that, we are looking over the structure, the organizational structure and the setup of both entities to ensure that we create two strong entities, highly competitive and fit for purpose to drive profitable growth going forward, also if in a volatile market environment. As I mentioned, we look forward to share more details in November, and you're more than welcome to join us then in -- at the Capital Markets Day in Stockholm. And with all of these activities and our closeness to our customers and our innovation and development together with our customers, I do feel that we are very well-positioned to benefit from profitable growth once demand turns back into positive territory again. So, with this, we end this formal part and Sophie, time for Q&A. Will you help us to facilitate?
A - Sophie Arnius: Yes, I will try to do that. [Operator Instructions] And let's start with a question from the telephone line, and it comes from Andre Kukhnin at UBS. Andre, your line is open.
Andre Kukhnin: Yes, good morning. Thank you very much for taking my questions. I'll stick to two, I think that's the rule. I just wanted to think about the Capital Markets Day on the 11th of November a bit more. And should we expect the separation process to be largely done by then? And do you think you'll be able to give some midterm targets for the new businesses -- for the two separate businesses by then?
Sophie Arnius: Rickard, do you want to comment on that?
Rickard Gustafson: Sure, I'd be happy to. Thank you, Andre. When it comes to how far we come with the separation, the intention right now and the plan that we have, that the vast majority of the work -- to internally divide these duties will be done by end of 2025. So, there will still be activities afterwards, but the vast majority of the activities should be closed by end of 2025. So, what you should expect? You should expect and what we plan for is to be able to clearly articulate the value creation plans that we see for the Industrial business and also for the future Automotive business. We will share our long-term financial targets for businesses, and we will also be more transparent on the cost that we have incurred to actually do this transaction. So, that's what to expect. But as we said, the work will continue into 2026, as we already announced at the point of the announcement.
Sophie Arnius: And Andre, you mentioned a second question there.
Andre Kukhnin: Yes, that's helpful. Thank you. And I just wanted to check on this new development on the profit bridge in terms of cost inflation. You've explained that this was to an extent, mix of business, how should we think about this for 2025? Is this kind of now the run rate? Or was that particularly different mix in the quarter? If you could just maybe give us a bit more color of it what was, what kind of products are these that are incurring this mix that's driving such a cost impact?
Sophie Arnius: Carina, will you take this one?
Carina van den Berg: I will do my best. I would say that -- I mean, we have a vast majority of products and they have slightly different cost components as is natural. It's -- I would not say that there is anything specific standing out in this quarter, but I do not see that it will have an immaterial impact in the coming quarter, but we do not comment on specific product mixes.
Andre Kukhnin: Right. Okay. So, just to clarify, you do not expect this mix to impact to continue in the coming quarters or you do?
Carina van den Berg: No.
Andre Kukhnin: You don't. Okay. Thank you very much.
Rickard Gustafson: Thank you.
Sophie Arnius: And we will continue with a question from the telephone line and is from Daniela Costa at Goldman Sachs. Daniela, please go ahead.
Daniela Costa: Hi, good morning. I have two as well. The first one is just a follow-up from the last point, but extending it a bit into pricing and sort of the price versus cost ex the mix, which you were clear, you don't expect to repeat. Do you expect that to turn negative? Maybe you could give some guidance on how you're thinking about that and pricing, in particular for 2025? I'll ask the second after.
Sophie Arnius: Yes. Carina, do you want to talk about?
Carina van den Berg: Yes, I mean I think, Rickard, you also mentioned it during your call that we work on pricing and mix continuously during the year, and there is something we have proven that we can push all through 2024, and we will continue to do so and drive pricing wherever possible in this environment.
Rickard Gustafson: Clearly, yes. So, you should expect us to behave as you've seen us behave in the last year or 15 months or so.
Daniela Costa: Okay. And then the second question sort of relates, I guess, to the overnight lots of news flow again on tariffs. You talked through your localization in Americas as a whole. Can you may be split it between localization in the U.S. versus Mexico in terms of those moves that you've done and sort of like how much are you importing into the U.S. right now and from where? Thank you.
Sophie Arnius: Rickard?
Rickard Gustafson: Yes, we don't disclose regionalization by country. But the -- I can say this, the vast majority of what we sell in the U.S. is also made in the U.S. But we do have imports. We do have imports from Mexico, clearly, with the investments we have done there, but also from other parts of the world. So, if these tariffs will materialize, yes, they will have an impact. But this is something that happens occasionally, and we've been in the business for more than 100 years and operate globally. So, we will find a way to also navigate through these headwinds. And we do have a number of levers that we are assessing how to deal if -- depending on what plays out, anything from pricing through additional cost activities and potentially some additional movements in our footprint. So, we'll see. But we do expect some volatility in this regard in the coming year.
Daniela Costa: All right. Thank you.
Sophie Arnius: Thank you. We will continue with a question from the webcast. It's from John Kim at Deutsche Bank. And it's, we have seen very different organic growth rates in Q4 by region. Given the trading to-date for Q1, what you see in the market, do you expect these trends growth continuing? And Rickard, you talked about this on the call. Do you want to continue on this theme here?
Rickard Gustafson: Yes. Sorry, my mind slipped a bit. Could you repeat the emphasis there on the question.
Sophie Arnius: It's that we had a very different organic growth regions or growth per regions. And do we expect these trends to continue here also in Q1?
Rickard Gustafson: Got it. Thank you. Sorry for the confusion. Well, starting with Europe. I do believe that the activity levels in the Nordics and Eastern Europe are not temporarily. I hope that those should be a signal that there are a positive movement in those regions. I'm not that confident that I dare to say that I see that, that's going to kind of also start to bridge over to Germany, Italy, and France in the near-term. I don't see any signs of that. So, I don't dare to go there, but this seems to be kind of robust in those parts of Europe, the activity levels. Turning to North America. Yes, we've seen now for some time that the activity levels are increasing. And I think in general, there are more activities after the presidential election. So, that's something that we see no reason why it should not continue into 2025 as of now. Same thing, if we move eastbound into India, Vietnam, Indonesia, strong activity levels really also supported by heavy investment in infrastructure from governments and so forth. Clearly, another area where we do believe that this is going to be maintained into 2025. China is difficult to read how that's going to go. We have seen a number of incentives initiated by the Chinese government to try to help boost the economic environment in the region or in China. As of today, in our business, we don't really see any real impact from those incentives. Maybe there's a time lag there, we'll see. But I -- it's more -- we don't really know what that will do. And if it's going to have a significant impact or not in 2025, time will tell. But otherwise, this is also the reason why we have the guidance as we have that we believe that we're going to maintain a rather weak general demand also in the beginning of 2025. And that's why we have this guidance as we now put out there.
Sophie Arnius: Thank you. Let's continue with a question from the telephone line, and it's from Andreas Koski at BNP Paribas. Andreas, please go ahead.
Andreas Koski: Thank you and good morning. So, first question, could you please share with us an indication of what impact your portfolio pruning activities had on organic growth in 2024 and what we should expect from this in 2025?
Sophie Arnius: Carina, do you want to elaborate on this one?
Carina van den Berg: Yes. I mean, clearly, it has had an effect as you can see and is partly driving the price/mix component. So, yes, we have negative volume effect from the pruning. But we have the positive price/mix, which is compensating for that. So, I think that's a proofing point that we're doing the right thing, and we will continue to drive that going forward.
Andreas Koski: Yes. So, should we expect the same kind of headwind in 2025? Or will it be--
Rickard Gustafson: But maybe I can. When it comes to -- given that we are still and we do forecast a rather generally soft economic development or demand. Clearly, our ability to drive excessive price will be tougher. That's the case. But we are holding our price levels and we continue to push, as Carina mentioned, price level selectively where we can. And when we come up with new products and new initiatives, clearly, we have a conversation with our customers about the value that we provide, and that is also should be reflected in the price. So, it's an ongoing activity, and we will continue. But these broad general price increases, clearly is not the climate for right now. But when -- if we have new tariffs coming into play, maybe that's a different ball game.
Andreas Koski: I was more thinking about the portfolio pruning when you decide to leave customers behind because they are not prepared to pay and you have a negative volume effect from that. And should we expect that volume headwind to be the same in 2025 as we've seen 2024?
Sophie Arnius: Andreas, we have done quite a lot of that portfolio pruning as you referred to already in 2023 and 2024. So, we will continue with that, but to a more limited extent. And then, of course, there are some contracts that we still need to honor that will show in the P&L also in 2025 before we can exit them.
Rickard Gustafson: No, you're right. And as Sophie is mentioning, we have done most of the heavy lifting in this -- has been done. But with that said though, our portfolio will be an living organism. We will constantly and always manage our portfolio. And as we move forward, there will be some customers that may be more attractive and some that will be less attractive, and we need to manage. And that's kind of the way of working and the normal modus operandus going forward. But this kind of one-offs where we had to do some sort of cleanup in the portfolio, most of that is done.
Andreas Koski: Understood. Thank you. And then just your comment on -- about pre-buying in Americas. Do you want to give some indication of the on the -- how big it was? Or if this means that we should expect negative organic growth in Americas again in the first quarter of 2025 when we won't have that pre-buying effect?
Rickard Gustafson: Well, yes. Now, on that one, I reiterate what I said in my presentation part of this call that, yes, we have had some timing effects in Americas, but also if we exclude those, we would have reported a positive organic growth in Americas also for Q4. We don't go further than that.
Andreas Koski: Understood. Thank you very much.
Sophie Arnius: Thank you. And we will continue with a question from Ben Heelan at Bank of America. Ben, please go ahead.
Ben Heelan: Yes, morning guys. Thank you for the question. The first one I had was on industrial distribution and if you could give us some color about what you're seeing across the different regions there. Where are you in, in terms of destocking on the industrial distribution side? And then in terms of the bridge, you've given some of the color on the kind of cost headwinds and the material headwinds that you've had. But were there any other costs in that bridge around underproduction or the factory efficiency, lower efficiencies of production that you talked about at Q3? If there's just any color around that, that would be very helpful. Thank you.
Sophie Arnius: Let's start with your question there on industrial distribution. Rickard, please.
Rickard Gustafson: Right. It varies quite a bit across our different geographies starting in India and Southeast Asia, we see strong growth in our industrial distribution business. Same story goes also for Americas, as we touched on before. In EMEA, it's holding up better than the OEM business, but in general terms, it's also down. But relative, the OEM business is holding up better and it drives some of the positive price/mix that you heard Carina mentioned before as well. And then in China, in China is the region right now where we do see tangible destocking and that impacted us in Q4. And we probably have to live with that also in the beginning of 2025. But that's the only region where destocking is actually tangible at the moment.
Sophie Arnius: And Carina, do you want to continue with the bridge question there?
Carina van den Berg: Bridge question, I think I gave you quite some detail on that, but let's see if I can give you some more color to that one. Yes. As you say, I mean, particularly in Automotive, it was a challenging quarter with customers having a lower factory output closing longer over Christmas, and this had an impact on our cost absorption as we mentioned, it's difficult to deal with that on a short-term basis. However, we have -- we are starting activities or have already started activities in getting that down, but it takes a little bit longer time to get the fixed cost down in our -- particularly in our European factories. As I said, also logistics was slightly higher. And I could also mention that we had salary inflation, but this was offset by efficiency in our factories. So, that did not have an effect on -- in the cost component this month or this quarter, I should say.
Ben Heelan: Okay, great.
Sophie Arnius: Thank you. Let's continue with a question from Tim Lee at Barclays. Tim, please go ahead.
Tim Lee: Hi, thanks for taking my question. So, I would just like to follow-up on that cost issue. I think can you give us the color about the -- what's the impact on EBIT from the under absorption of the fixed cost in numbers that would be super helpful. And also, the other question would be on the localization. I think as you have some progress in terms of the movement in the production footprint, do you have any specific targets in terms of what level of like localization you would like to achieve in the Americas or in Asia in your midterm targets, that would be helpful? Thank you.
Sophie Arnius: Should we start with the regionalization here Rickard, and then Carina, you're not off the hook with a bridge that continue--
Rickard Gustafson: All right. Yes, on the regionalization and the targets, we haven't set any firm and hard targets. But with that said, though, I will give you some flavor. We're not aiming for 100% regionalization. That is not realistic for our type of business. There are certain products categories or parts of our portfolio, that makes no kind of commercial sense to spread globally. We need to condense and we need to centralize in order to drive synergies. So, that's one reason. Another reason being also patents and also to secure some technology that we may not want to spread that globally as well. So, for a number of reasons, you should not expect 100%. I think the old famous 80/20 rules applies. I think that's kind of what we're aiming for to roughly have some 80% regionalization rates in Asia and Americas is the long-term target.
Sophie Arnius: And Carina, the bridge, yes.
Carina van den Berg: I'm sorry to disappoint you, but I will not give a number on that part of the bridge.
Sophie Arnius: Thank you, Tim. Let's continue with a question from James Moore at Redburn.
James Moore: Yes, good morning everyone and thank you for the time. I wondered if I could ask about China in two dimensions, really, one on wind and one more generally. I get the sense that your wind business over the last few years has come down materially as a share of your Chinese revenue. But the wind market in terms of sort of megawatts, gigawatts is relatively stable. And I sense that, that is a market where the Chinese have prioritized local players for bearings. I just wonder with the ongoing destocking that you're seeing. So, I wondered if you could talk about wind and whether you think that that's going to be an ongoing drag basically in wind? And then turning it to the general side, do you think that the destocking is a market phenomenon? Or are we starting to see any prioritization of local Chinese bearings in the general industrial channels as well? Is that a new topic? Is that something that could worsen as we go forward from there?
Sophie Arnius: Rickard, please.
Rickard Gustafson: Starting with wind. Yes, I think it's fair to say what you said there that we see a trend that there is a priority for more local producers in the wind business and us global players ourselves, Timken and Schaefflers, I think we all have reported negative development in terms of growth for wind in China. So -- and quite honestly, short-term, I don't think that is going to change. But clearly, wind is also an high technology industry requires intensive R&D and innovation. And when it comes to future releases or future solutions and applications, we are all working with Chinese OEMs and continuing that pace. So, where this will lead long-term? I don't know. But here now, I think we don't foresee that this is going to shift. But it doesn't mean that we have a band on our activity levels to the full extent related to wind, and we continue to invest in R&D and innovation in that space, also for China. When it comes to industrial distribution, no, I do not see that this is a reflection of more kind of local for local activities. I truly believe rather that we saw that a number of industrial distributors in China, they are small and medium-sized enterprises. And during the first half and also the beginning of the second half of 2024, I think they still had rather high confidence in the market development, and they dare to kind of stock up. Now, I think they have had more concerns and a bit more skeptical towards how the Chinese economy is evolving. And therefore, I think they have decided to start to take down their stock levels a bit to make sure that they don't end up in a difficult situation. Again, as I mentioned, these are small and medium-sized enterprises. And again, if the Chinese government and those incentives can bring forward a more confidence among consumers and small and medium-sized enterprises in China, if that sentiment changes, then I do think that we're going to see that this is going to re-bounce pretty quickly. So, it's not derived from a shift between us -- shifting us as a supplier, no.
James Moore: Thank you very much Rickard.
Sophie Arnius: Thank you, James. Let's continue with a question from Johan Sjöberg at Kepler Cheuvreux.
Johan Sjöberg: Good morning. Thank you. I had a question on your outlook for Q1. I'm getting a lot of questions on that from clients and better hear from the source rather than my interpretation here. Looking at Q1, so to speak, how do you see the industrial business performing organic growth-wise compared with automotive? If you could give some sort of split on those two businesses would be fantastic.
Sophie Arnius: So, Carina, do you want to enlighten Johan?
Carina van den Berg: Enlighten, I mean -- we have the guidance that we have. We believe that we will have a weakened market. We don't give specifics on the segments we have. Sorry, there, Johan.
Johan Sjöberg: No, no problems. And then just on your -- Rickard, your comments also about the Automotive margins here. I mean the 5%, I understand it's not a full year 2025 target, obviously, but I guess Q2 at least should be sort of in that range or at least very close to it. Is that still sort of the your main scenario and also could you talk about what is sort of from here going forward from this level until the Q2, how -- what are the main drivers for that? Would you expect -- yes, please go ahead.
Rickard Gustafson: Right. Johan, I may disappoint you. As you know, we don't guide on margins. So, I'm not going to do that today either. Full year 2024, our Automotive business came in just shy of 5% operating margin and we have higher ambitions than that. But also, as I mentioned, if we look into the new business that we quote for and that we win, it's very accretive to the long-term target. So, we're building a stronger portfolio. And what you should expect and the key drivers are actually the same as we talked about now for quite some time. We are putting a lot of emphasis on the personal vehicle in the EV space. That's really where we put our main emphasis and efforts where we truly have significant value, both on the wheel hub side and in the powertrain. And we do sense that we are a market leader in that space. We also focus heavily on commercial vehicles. Commercial vehicles at the moment, have had a rather weak development in terms of sales. Listening into some of the OEMs and as they disclose their order books, it seems that these things will pick up over time. And if that happens, that would be positive from our point of view as well, but that's another important segment for us. And thirdly, we continue to develop and growing our aftermarket business, which is definitely less cyclical and also provides an interesting boost to our profits there.
Johan Sjöberg: Great. And final question, if I may. Sort of looking at the EU cost here near-term, should we expect them to be sort of around the Q4 levels, given that still you have to take out cost in order to offset the inflation. Is that sort of how we should think about it? And if you could give some detail about full year 2025 EU items, if that would be fantastic.
Carina van den Berg: I'm sorry, it was items affecting comparability, you want to know Johan.
Johan Sjöberg: Exactly.
Carina van den Berg: Yes. Okay, I did not catch you there. As we said, we are -- the majority of the cost in the fourth quarter was related to the regionalization and as you say shifting our production and reducing our fixed cost. And part of it was the Automotive separation, which were around SEK100 million in the fourth quarter, and we do expect that, that will increase the coming quarter as IT and advisory costs, et cetera, will go up now when we accelerate that work. I will not give you more details on that today. And as you said, Rickard, in November, we will come back with more.
Johan Sjöberg: Perfect. Thank you.
Rickard Gustafson: Thank you.
Sophie Arnius: And then you already answered that question here from Seb Kuenne at RBC. Thank you, Carina, for that. And we will continue with a question from the webcast here. It's from John Kim at Deutsche, also talking about the automotive separation and if we can provide an update of the functional separation and the manufacturing assets, how those will be split? Rickard, do you want to share your view there?
Rickard Gustafson: Right. We are in a very intense phase. We have a dedicated organization now focusing on all the thousands of activities that will be required to separate these two entities. And we want to keep -- make sure that we're going to point towards the Capital Markets Day in November, where we can bring everything in a holistic view rather than drop feed you throughout the journey because it's for us, it's important that we can -- at that stage, we will be able to tell both the value creation part and the operational part and the cost to get there and we want to do that holistically. So, no, you should not expect us to drop feed you throughout the year. We give an update every quarter on the progress clearly, but the big picture will be served in November.
Sophie Arnius: And let's continue with the final question then, and it will be from Anders Roslund at Pareto. Anders, please go ahead.
Anders Roslund: Yes. Thank you. Sorry for asking the same question about the outlook. There are some moving -- for the first quarter, there are some moving parts here. We have the extra buying in the U.S., but you have destocking in China, and you had the Christmas effect may be hitting Europe more. Could you give some light on what somewhat lower demand means? We don't know your new structure of outlook here. The previous one, you could say it was between mid-single-digit growth. How should we interpret those moving parts and your outlook?
Sophie Arnius: So, Rickard, do you want to start with the moving parts here?
Rickard Gustafson: Well, I'm not -- I don't know what to answer on the moving parts. I think we have disclosed what we can disclose. And when we look into our crystal ball and what we know and the information that we sit on, the guidance that we give is our best estimate on how we see that our net sales will evolve in Q1. But then how to interpret it, maybe Sophie, you want to take that one?
Sophie Arnius: That's a question for me then, Anders. So, of course, we want to share our view on how the market is developing. But as you know, it's a fairly dynamic environment and given the nature of our business, we have decided, as Carina already said, to provide a more qualitative comment rather than quantifying as previously. So, I'm going to disappoint you, I will not share with you exactly what weakened somewhat will translate into figures. Any more questions from you, Anders? No, that was it. Thank you, Anders.
Sophie Arnius: And that was also the final question. And of course, for those that had not opportunity to call in now and you can always call the IR team afterwards. So, with that, I leave the word to you, Rickard.
Rickard Gustafson: Thank you. Thanks Sophie. And first and foremost, thank you to all of you. Thank you for spending an hour with us this morning and take part of our story. And I hope that you take away that the journey continues. We are navigating in a volatile world. And in that world, we have been able to provide resilience in our business, in our earnings. And we continue on our strategic initiatives, driving our business forward to ensure that we will be well-positioned to drive profitable growth once demand turns positive again. And so we look forward to see you in the quarter. And as I mentioned in the beginning, I hope that you now pencil in the November 11th in your diaries and that you will join us then in Stockholm. So, with that, thank you so much and I wish you a good day.